Operator: Ladies and gentlemen, thank you for standing by for CIGNA's Second Quarter 2010 Results Review. [Operator Instructions] We'll begin by turning the conference over to Mr. Ted Detrick. Please go ahead, sir.
Edwin Detrick: Good morning, everyone, and thank you for joining today's call. I am Ted Detrick, Vice President of Investor Relations. And with me this morning are David Cordani, our President and CEO; and Annmarie Hagan, CIGNA's Chief Financial Officer. In our remarks today, David will begin by briefly commenting on CIGNA's second quarter results and discussing the progress we have made to date with our growth strategy. He will also provide an update on the company’s actions regarding health care reform, and he will conclude his remarks by providing an overview of our international operations which is a key component of our global portfolio of businesses. Annmarie will provide a detailed review of the financial results for the quarter and will discuss the full year 2010 financial outlook. She will also provide an update on our expense reduction activities and capital management goals as well as our growth strategy. We will then open the lines for your questions. And following our question-and-answer session, David will provide some brief closing remarks before we end the call. Now as noted in our earnings release, CIGNA uses certain non-GAAP financial measures when describing its financial results. A reconciliation of these measures to the most directly comparable GAAP measure is contained in today's earnings release, which was filed this morning on Form 8-K with the Securities and Exchange Commission and is posted in the Investor Relations section of www.cigna.com. In our remarks today, we will be making some forward-looking comments. We would remind you that there risk factors that could cause actual results to differ materially from our current expectations, and those risk factors are discussed in today's earnings release. Now before turning the call over to David, I will cover one item pertaining to our second quarter results. Relative to our run-off reinsurance operations, our second quarter shareholders net income included an after-tax non-cash loss of $104 million or $0.37 per share related to the Guaranteed Minimum Income Benefits business, otherwise known as GMIB. I would remind you that the impact of the Financial Accounting Standards Board's fair value disclosure and measuring (sic) [measurement] guidance on our GMIB results is for GAAP accounting purposes only. We believe that the application to this guidance is not reflective of the underlying economics as it does not represent management's expectations of the ultimate liability payout. Because of the application of this accounting guidance, CIGNA's future results for the GMIB business will be volatile as any future change in the exit value of GMIB's assets and liabilities will be recorded in shareholders’ net income. CIGNA's 2010 earnings outlook, which we will discuss in a few moments, excludes the results of the GMIB business and, therefore, any potential volatility related to the prospective application of this accounting guidance. And with that, I'll turn it over to David.
David Cordani: Thanks, Ted, and good morning, everyone. Before Annemarie reviews our second quarter results and full year outlook, I'll take a few minutes to cover three topics. First, I'll put our results in the context of our growth strategy. I'll also highlight key points of differentiation and priorities to further enhance our effectiveness. Second, I'll provide our perspective on U.S. health care reform and what you can expect from CIGNA. And third, I'll provide a profile of our rapidly growing international operations. So let's get started. Relative to our second quarter, I'm pleased with our earnings of $1.38 per share because it affirms the strength of our diversified global portfolio businesses. We delivered strong results from each of our ongoing businesses, International, Group Disability and Life and Health Care. Our second quarter results validate how we are delivering on our strategy. I’ll briefly revisit the three components of the how. First, let’s go deep. It's all about focus: Targeted market leadership and expansion via geographic, product or targeted buying segments. This is evidenced by strong membership growth in our Middle Market and Select segments as well as in double-digit premium growth from our Health Life & Accident business and our very attractive Expatriate and Disability business growth. Second is go global. Here we capitalized on and leveraged our established global footprint and capabilities in order to expand into geographies with product lines and distribution channels that position us for additional profitable growth over the next three to five years. And third is go individual. This is a buyer segment and also a way we run our business by focusing on the individuals we serve. We're leveraging and learning from outside the U.S. where we currently have approximately 5.5 million individual policies in force and we're positioning for growth in the U.S. individual market. Across our businesses, we’re providing differentiated value to our customers. That's best supported by our strong retention rates, our multi-program relationships and clinical quality results. Take for example, our U.S. health care business. We have a sharp focus on delivering high levels of service and choice for our customers, for example, providing a diverse suite of offerings from funding options to clinical and productivity management, lifestyle management and wellness programs. We also provide a high level of transparency into the medical costs through extensive reporting for our self-funded and experience-rated customers. In order to continue to meet our objectives as a leading health service company, we’re building on our two key enablers, people and information. I'll comment briefly on people. We've been building a strong team from our sales organization, our award-winning customer service team, our caring clinicians, our support functions and our leadership team. On a targeted basis, we've continued to add to our leadership team both in the U.S. and abroad. Our recent additions underscore the diverse and deep experience required to continue our momentum. Let me preface this by something I’ve discussed with many of you in the past. This is a continuous process to add leaders on a targeted basis when and where we need to drive our business. Said otherwise, we're never completely finished, and we'll continue our journey of expanding roles and adding key leaders on a targeted basis. I'll highlight a key addition in the U.S., and then in a few minutes, I'll highlight some key adds on the international side. We recently announced the addition of Bert Scott, in the new position of U.S. Commercial President. The creation of this role was enabled by our deep and highly tenured team of health care business leaders. Bert brings over 30 years of success driving growth for health and financial services companies with particular focus on customer experience. Obviously, this is a fit for how we focus our business and where we're headed. So to sum up our year-to-date 2010 results, they represent meaningful progress toward achieving our full year and long-term strategic operating and financial objectives. Now let's turn to the topic that represents substantial change in the environment and marketplace, U.S. health care reform. Although it's early days, I'll highlight some of what you should expect from CIGNA looking forward. At CIGNA, we have a dedicated team of individuals who are focused on three areas: First, being compliant with the law of the land; second is working proactively with state and federal agencies to convert the legislation to sustainable regulation; and third, identifying and pursuing opportunities created by this rapidly changing market. We're working hard to make sure the U.S. health care system changes our sustainable. We recognize the legislation that passed earlier this year did a good job in improving access. However, to be sustainable, we also need a health care system that improves quality while reducing costs. These are the keys to sustainability. This is achievable but only if we shift the focus from just sick care to also focusing on keeping people healthy in the first place. As we see it, there's a recipe for success and this is what we're advocating for and delivering in the marketplace each and every day. From our view, the next generation of health and wellness programs in the U.S. and around the world must link quality and cost in order to be sustainable. The creation of awareness on health issues, health risks and what individuals can do about them is the critical first step. Once awareness is elevated, we must align incentives for individuals and physicians to promote positive behaviors such as individual accountability, focus on prevention and wellness and changes in the reimbursement for doctors, facilities and other health care professionals to focus on the quality of outcome rather than only the quantity of services. These must be supported by two critical items: Actionable information about treatment options and alternatives; the cost of care as well as expected quality outcomes; in addition, providing assistance from trained health care professionals who help individuals improve their health and navigate the complex health care system. Today, we're delivering meaningful value for customers where we apply this recipe. For example, we have demonstrated that customers can achieve 26% lower medical costs over four years all while levels of engagement go up, health compliance goes up and overt health care quality improves as well. We're also using awareness and incentives in our on-site and retail care delivery, our biometric screening and our health coaching capabilities. The environment we operate in is nothing if not dynamic. And you can expect CIGNA to continue to innovate. For example, we’re accelerating the rate of partnering with physicians and hospitals to incent them on quality outcomes. This is happening today with our Patient-Centered Medical Home and accountable care programs. Regarding the impact of U.S. health care reform, obviously, much more is needed to convert the legislation to sustainable regulation, and although all the effects are not totally clear yet, based on progress to date, we continue to believe that the direct impact of reform to CIGNA is manageable. And as we've previously discussed, this rapidly changing marketplace creates opportunities for CIGNA. Relative to the direct impact of health care reform, our Group Disability and Life and International operations represent about 40% of CIGNA's year-to-date earnings from operations and are essentially outside the scope of U.S. health care reform. Specific to our health care operations, over 90% of our medical membership is in self-funded or experience-rated business, which already has a high degree of transparency of medical costs for employers with medical cost improvements directly benefiting employers. And our individual small group membership represents approximately 1% of our total membership. We see opportunity in the fact that we can take a fresh look at these markets rather than protect the past model. Specific to opportunities we see, we believe our diversified product portfolio and global geographic footprint provide us with new and attractive opportunities for expansion both inside and outside the U.S. We are well positioned philosophically with the goals of health care reform, those being transparency, choice and individual responsibility. And strategically, we continue to invest in capabilities that are in line with these market shifts. With that, I'm going to give you a deeper profile on our International operations before I turn the call over to Annmarie. To state the obvious, the global marketplace is diverse, complex and rapidly growing with each country having its own culture, growth opportunities and various entry. We've established focused business models that are responsive to the needs of the individuals and businesses we serve. Today, our International operations includes a workforce of over 9,000 and generates over $2 billion in revenues. This historically delivered double-digit revenue growth, double-digit earnings growth with very attractive margins and capital efficiency. We expect this trend to continue. This growth rate and earnings power is significant by any standard of measure. Our international operations currently includes four lines of business: Two that are large and well-established, our Health Life & Accident business and our Expatriate business; one established with smaller and growing one -- that's our health care business primarily focused in Spain and the U.K.; and an emerging business, focused on individual private medical insurance. Today, I'll discuss the two larger businesses in more detail. These businesses have locally licensed insurance companies in 27 global jurisdictions that are led by dedicated local management teams supported by dedicated product development and marketing teams. And they distribute products and services through differentiated and diverse channels. These capabilities, coupled with ongoing innovation, are critical drivers of our success. Our largest and fastest-growing business is our Health Life & Accident business, which is now led with the addition of Jason Sadler, a prominent leader of large multi-product Asia-based businesses. And with our focus on the rapidly growing markets in Asia, he’s headquartered in Hong Kong. The addition of Jason enabled us to move our prior Health Life & Accident head David Skinner, also Asia-based, to focus solely on China, which is a huge opportunity for us given its current size and rapid growth rate. In our Health Life & Accident business, we serve individuals by providing low premium, short-term supplemental health and security-related coverages. Our operations are in the Asia-Pacific and Euro regions. And we continue to systematically expand our footprint to position for sustained growth in the future. The second largest business is our Expatriate business, which serves expats in virtually every country throughout the world. This business is run by Andrew Kelsey [ph] (38:42) who joins CIGNA after a number of executive leadership positions around the globe. In this business, we offer multinational organizations, medical benefits for their employees on long- and short-term international assignments. We provide global access to health care through our global network of health care professionals and we support this with a world-class multilingual, multicultural service model. In addition to the attractiveness of the revenue and earnings contributions from these businesses individually, we're taking the decades of international experience of servicing individuals and providing supplemental health care coverage and leveraging that knowledge to continue our global expansion to new geographies, including the U.S. We see the global economy fast becoming borderless, and at CIGNA we have a terrific and established foothold in this rapidly growing marketplace. We’re providing the thought and market leadership to move along with it as well as shape what the future looks like. In closing, I'm pleased with the progress we have achieved on our global growth strategies and our 2010 financial and operating objectives. Our second quarter results are strong and reflect the strength of each of our ongoing businesses. I'm confident in our ability to continue to execute on the fundamentals and achieve our full year goals. And we continue to invest and position ourselves for continued success beyond 2010. Finally, as we continue to execute our global growth strategy, I'm fortunate to have such a talented and dedicated team with me at CIGNA. With that, I'll turn the call over to Annmarie.
Annmarie Hagan: Thanks, David. Good morning, everyone. In my remarks today, I will review CIGNA's second quarter 2010 results as well as provide an update to our full year outlook. In my review of consolidated and segment results, I will comment on adjusted income from operations. This is shareholders’ income from continuing operations excluding realized investment results, GMIB results and special items. This is also the basis on which I will provide our earnings outlook. Our second quarter consolidated earnings were $384 million or $1.38 per share compared to $313 million or $1.14 per share in the second quarter of 2009. This reflects very strong results from each of our ongoing operations. They're International, Disability and Life and Health Care, and we continue to leverage this diversified portfolio of businesses to deliver value for the benefit of our customers and our shareholders. I will now review each of the segment results beginning with Health Care. Second quarter 2010 Health Care earnings were $247 million. This result reflects lower medical cost, the impact of targeted membership growth, strong contributions from specialty businesses and ongoing operating expense improvement. Specific to our strategy execution, we are consistently achieving strong customer retention and new sales in targeted segments and geographies. Overall, Health Care membership was up slightly versus the first quarter of 2010. This result reflects continued growth in our guaranteed cost and our experience rate of products, offset by disenrollment in our national account ASO business. The growth in our commercial risk businesses came primarily in our targeted markets and our targeted customer segments, including Middle Market, Select and Individual. Health Care premiums and fees grew 15% on a quarter-over-quarter basis. This increase reflects net membership growth and a change in membership mix, which includes a higher percentage of commercial and Medicare-related risk business. Turning now to our medical cost. Results in the quarter demonstrate strong clinical quality and competitively attractive medical costs for all of our customers of which the majority, over 80%, are served through self-funded relationships. Specific to earnings, our second quarter results include favorable prior period claim development of $40 million after tax across our risk book of business. Of this amount, $14 million is related to prior years, and $26 million is related to the first quarter. Our medical results reflect lower-than-expected utilization levels, including the absence of flu-related claims. We also saw lower medical costs in the first half of the year due to a greater percentage of business and high deductible plans. It is typical for these plans to have seasonably low claims in the earlier part of the year followed by higher claim levels in the latter part of the year. Specific to our guaranteed cost book of business, second quarter results include $11 million after tax of favorable prior-year claim development, which is part of the overall $14 million I referred to earlier. Given the relative small size of this book of business and the fact that results tend to bounce around from quarter-to-quarter, we suggest it is more meaningful to focus on the year-to-date results. Our guaranteed-cost medical care ratio, or MCR, for the first half of 2010 was 82.3% excluding prior-year claim development. Regarding our experience rate of product, we continue to see good growth in this business at attractive margins. Results in the quarter also benefited from favorable prior period claim development again, reflecting lower utilization and the impact of an increase in the mix of high deductible products. Relative to our new business and our experience rated and guarantee cost products, while we are still only six months into the year, results to date continue to support our pricing target and reflects good pricing and underwriting discipline. ASO earnings were favorable overall driven primarily by strong contributions related to our specialty businesses as lower operating expenses. Year-to-date core medical operating expenses were lower compared to the same period last year driven by cost reduction actions taken in 2009. We have maintained our strong clinical delivery and service models during these cost reduction efforts. As we pursue additional operating efficiencies, we will continue to make appropriate trade-off decisions regarding strategic investments and the potential impact of health care reform. Now I’ll discuss the results of our other segments. Second quarter earnings in our Group Disability and Life segment were $89 million. This reflects continued operating excellence in our disability management programs, which also contributed to a net benefit of $29 million after tax related to reserve studies. Through our expertise in disability management, we are able to help employees return to work faster, which increases productivity and drives cost savings for our customers. Results in the quarter were strong overall, and this segment continues to deliver attractive margins. Second quarter earnings in our international segment were $64 million. Our Health Life & Accident business benefited from good persistency and strong new sales in our targeted growth country. We also saw strong renewal rate actions and lower claim levels in our Expatriate Benefits business. Overall, results in the second quarter demonstrate good execution of our growth strategy and the value we provide to our customers and shareholders by leveraging the capabilities of our diversified portfolio businesses. Earnings for our remaining operations, including Run-off Reinsurance, other operations and corporate totaled to a loss of $16 million for the second quarter. Relative to our run-off VADBe book business, results were break even. Turning now to our strategy, second quarter results demonstrate continued consistent execution of our global growth strategy. Through the first half of 2010, we achieved solid growth in each of the business areas of focus, specifically, in our Middle Market, our Select segment, Disability and our global product offerings. Medical membership in the Middle Market segment is up 7% versus year-end 2009, reflecting good customer retention and new sales. Customers within this segment generally purchase both medical and specialty coverages, which allow us to more effectively manage the overall health and wellness of the individuals we serve. Medical membership in the Select segment is up 6% versus the year-end 2009, reflecting stronger retention rates and new sales due in part to the success of the benefit program that we rolled out in the second half of 2009. International Account segment, we continue to focus on those employers who value engagement and incentive-based products offered on an integrated basis. And we have had success in winning new business and further penetrating existing accounts that are aligned with this value proposition. Regarding our Disability business, we have demonstrated solid premium growth in the first half of this year, which further supports our position as an industry leader in this space. And finally, relative to our Global businesses, we continue to see strong Health Life & Accident sales and good persistency as I noted previously. We also see good revenue growth in our Expatriate Benefits business. Overall, we are pleased with the progress we have made to date in executing on our strategic, operational and our financial goals. This execution has resulted not only in enhanced customer access, but also improvements in service and clinical quality. Now I'd like to provide a brief update on our efforts to reduce our medical operating expense base. We remain committed to reducing our medical operating expense base and to making meaningful progress in closing our competitive gap while maintaining service excellence and making prudent investments to fuel growth in our strategic areas of focus. Medical operating expenses, which directly correlate to our competitive expense position and provide for the most meaningful expansion opportunity were down 4% versus the first half of 2009 while both membership and revenue have increased. Specifically, medical operating expenses were $1.3 billion in the first half, which is lower than the first half of 2009 by $63 million pre-tax. This year-over-year improvement is largely due to the impact of the cost reduction actions taken in 2009 while we continue to grow and invest. We continue to expect to reduce our medical operating expense base in 2010 but to a lesser extent than we previously communicated. This change is due to targeted and strategic increases in spending in the second half of the year for three main reasons. First, in volume-related expenses: As we expect to increase our level of spending on customer service and other areas in response to our growth in risk membership; second, we've contemplated incremental technology-specific items, including spend for supporting compliance with health care reform as well as accelerated spend related to HIPAA 5010; and third, in discretionary spend as we invest in targeted areas to further support execution of our growth strategy. Beyond 2010, we will continue to pursue additional medical operating expense savings while ensuring continued service excellence and strong clinical delivery. We will continue to make the appropriate trade-off decisions as we target closing our competitive operating expense gap while supporting strategic investments and health care reform. Turning now to our investment portfolio. Results continue to be strong relative to the challenging economic conditions. We recognized net realized investment gains of $14 million after tax in the second quarter, which was net of a $3 million after-tax impairment on our commercial, mortgage loan portfolio. In the second quarter, we completed our comprehensive annual review of each of the commercial mortgage loans in our $3.4 billion portfolio. The average loan-to-value ratio of the portfolio was essentially unchanged improving modestly to 76% compared to our most recent estimate of 77%. Market conditions remain challenging but there are growing signs of stabilization and increased demand. Overall, we view these results of our annual mortgage loan review as positive. And, while we continue to believe our portfolio is comprised of high-quality, stable properties, we will continue to aggressively manage all aspects of the portfolio and respond appropriately to emerging information. We continue to be quite pleased with the high quality and diversification of our overall investment portfolio, and we believe our problem investing exposure is manageable. I'll now discuss our capital management position and outlook including a summary of our subsidiary capital and our parent company liquidity. Overall, we continue to have a strong balance sheet and good financial flexibility. Our subsidiaries remain well capitalized with statutory surplus well in excess of regulatory minimum. And we repurchased approximately 6.2 million shares of CIGNA's common stock through August 4 for $200 million. Regarding parent company liquidity, we ended the quarter with cash and short-term investments as the parent of approximately $720 million. This includes outstanding commercial paper borrowing of approximately $100 million, as well as $300 million of long-term debt issued in May. Turning now to our full-year 2010 capital management outlook. We started the year with $475 million of cash as the parent. We continue to expect full-year subsidiary dividends of $1 billion. We issued $300 million of long-term debt in May. While this increase is our parent company liquidity in 2010, we are committing $225 million of these proceeds to the repayment of long-term debt maturing in January of 2011. We continue to expect the full year net after-tax impact of the Pension Plan funding to be a net use of $150 million, which we have completed in the first half of the year. As I mentioned previously, we used $200 million for share repurchase. We now expect full year other net uses of $250 million. Putting all the pieces together, we expect to end 2010 with parent company cash of approximately $1.175 billion. Given the uncertainty of the equity markets and the economic conditions, as well as the potential impacts of health care reform, we are now targeting $400 million worth of cash at the parent company. Considering this increased parent company cash target of $400 million and commitments of $225 million for long-term debt and $100 million for commercial paper maturities, our outlook implies that we would have approximately $450 million available for capital deployment for the balance of 2010. Our capital deployment strategy remains the same. This strategy prioritizes the use of capital resources to first provide capital necessary to support growth and maintain or improve the financial strength ratings of our subsidiaries. This includes evaluating potential solutions for our Run-off Reinsurance businesses and our Pension funding obligation. Second in our capital deployment strategy, we would consider M&A activity with a focus on acquiring capabilities and scale. And finally, after considering these first two items, we would return capital to investors through share repurchase. Overall, our capital outlook for 2010 remains quite positive. I will now review our earnings outlook. Overall, we have increased our consolidated full year 2010 earnings outlook reflecting the strength of our second quarter results from each of our ongoing businesses. For full year 2010, we now expect consolidated adjusted income from operations of $1.13 billion to $1.21 billion. This is $60 million to $80 million higher than our previous outlook. Regarding our run-off VADBe book, this outlook reflects approximately breakeven results for full year 2010. This assumes that actual experience, including capital market performance will be consistent with a long-term reserve assumption. If the current environment of sustained equity market volatility and low levels of interest rates persists, we may increase our reserve which could result in losses in the second half of 2010. We now expect full year earnings per share in a range of $4.10 to $4.40 per share, which is an improvement of $0.25 to $0.35 per share over our previous outlook. Our earnings per share outlook reflects share repurchase activity through August 4 and does not include any future share repurchase activity. Regarding the impact of health care reform legislation, our 2010 outlook contemplates the benefit coverage requirements effective this year, certain operating expense items and limitations on the future tax deductibility of certain retiree benefit programs and other compensation. I'll now discuss the components of our 2010 outlook starting with Health care. We now expect full year Health care earnings in the range of $765 million to $825 million, which is an improvement of $35 million to $45 million from our previous outlook. This improved outlook is largely due to lower medical costs driven by prior year claim development and lower claim utilization. In addition, more favorable specialty results will be essentially offset by targeted investments and capabilities and additional investments related to accelerated compliant spend and health care reform. Relative to medical membership, we now expect full year 2010 membership growth of approximately 3%, which is at the high end of our previous outlook of 2% to 3%. This modest improvement reflects strong customer retention and sales execution. I'd also reinforce that new business pricing and the renewal rate actions we are obtaining are consistent with our expectations. Turning to medical cost. For our guaranteed cost book of business, we now expect the full year MCR to be approximately 83%. This reflects the favorable impact of the prior year claim development and the benefit of the lower-than-expected utilization levels in the first half of 2010. Our outlook for the second half of the year assumes that claim utilization returns to historical levels, including an assumption that flu-related claims will be consistent with the third and fourth quarters of 2009. Our second half MCR also contemplates a higher level of claims due to typical seasonality on the portion of our business and high deductible plans. As a result of the lower claim utilization levels experienced in the first half of the year, we have reduced our total book medical cost trend expectation by 50 basis points. We now expect whole year medical cost trends for our total book of business to be approximately 8%. Regarding Medicare Advantage, Private Fee for Service, we continue to assume a breakeven result for this business and our full year outlook. Now moving to our Group Disability and Life and our International operations. We now expect Group and International to contribute full year 2010 earnings of $510 million to $530 million. This is a $25 million to $35 million improvement over our previous expectations primarily reflecting the strength of our second quarter results. These two businesses consistently deliver differentiated value for our customers and as a result, competitively strong growth and margins. Regarding our remaining operations, including Run-off Reinsurance, other operations and corporate, we continue to expect a loss of $145 million for full year 2010. So all in, we now expect consolidated EPS to be in a range of $4.10 to $4.40 per share. So to recap. Our second quarter 2010 consolidated results reflect the strength of our global diversified portfolio of businesses. Results also demonstrated effective execution of our global growth strategy with year-to-date membership and revenue growth in our targeted areas of focus. Our current capital outlook is quite strong and our investment portfolio is of high quality. And finally, we are confident in our ability to achieve our full year 2010 earnings outlook which represents competitively attractive earnings growth. With that, we'll now take your questions.
Operator: [Operator Instructions] We will go first to Matthew Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc.: Mike, my first question is on your Expatriate business. Couple things there, I think last quarter you had said the claims development or perhaps it was the trend in the quarter was $5 million favorable to your earnings in expat, if you could update what that figure was for this quarter if I got that right, and then, more broadly, with the NAIC leading, apparently open to HHS, the question of whether the MLR rules will apply to expat, but the laying out a recommendation for how the rules should work if, in fact, it's applicable. Can you comment on what range of impact you might see or where you expect that to come out?
Annmarie Hagan: Good morning Matthew, it's Annemarie. I'll take that first part of the question on the expat claims and then I’ll ask David to comment on the impact of reform on expat. You're right, last quarter, we talked about a $5 million and a better-than-expected run rate on the claim. When I look at the total international operations, so, including Health care and Health, Life & Accident, as well as Expatriate Benefits, through the six months, we probably had about $15 million to $20 million all in that was better-than-expected claims results primarily as it relates to some seasonality. So as we look first half to second half, there was somewhere in the neighborhood of 15, primarily in expat, that we would not expect to recur in the balance of the year.
David Cordani: Matthew, good morning, it's David. On the second point, first, by way of backdrop, whether it’s expat or other issues, we continue to work very closely with HHS, the White House staff and the NAIC. And as you know, things continue to evolve. Let me give you just a minute of background on expat and then directionally answer your question. Our expat portfolio is large and broad. And what I mean by that there's insured coverage and there’s ASO coverage. There's coverage for U.S. domiciled employers and non-U.S. domiciled employers. Therefore, there's a variety of services being consumed both in the U.S. as well as outside the U.S. And additionally, as I believe you know, it's a pretty complex offering with a different administrative service profile so was the breadth of the global network, 24/7, 365, the multilingual service, up through and including evacuation services, present a very different type of offering than a traditional commercial employer offering. The reason why I provide that backdrop is that’s a lot of the conversation that's been happening with White House staff, HHS and the NAIC to make sure they understand the overall design of the programs, how they're consumed, who they're targeted for, et cetera. It's early to draw conclusion but as we said in our prepared remarks at this point, we believe the direct impact of finalization of the health-care reform is manageable for our business and we'll obviously stay quite transparent and open with you when it comes to closure.
Matthew Borsch - Goldman Sachs Group Inc.: Okay and if I could just ask one follow-up on a different topic. As you touched on VADBe, can you just give us an update of in the past where the market sensitivity is maybe relative to S&P levels, if the S&P drops to whatever threshold level, what the impact might be?
Annmarie Hagan: Sure, Matthew. It's Annmarie. Relative to our VADBe results, as we’ve discussed before, these results have been in the break even range over the last four to five quarters. As we noted in our prepared remarks and in our press release, if the market levels continue to have that low level of sustained interest rate, as well as the volatility that we've experienced in the S&P, we've indicated that we could have a charge. Now to put that in perspective to get to your specific question, we did disclose our sensitivities relative to the S&P closed at around 11.20, 11.25 at the end of June, a 10% change in that. S&P level Matthew would hit the reserves by about $10 million to $15 million after-tax. In addition, relative to our interest rate environment, we have seen sustained grow levels of interest. Just to put some prospective around that because I think these are the two sensitivities that are most important for you to think about. The interest rate sensitivity as you know, our growth rate is about 5% and our critical accounting estimates in our 10-K, we would indicate that a 50 basis point change in interest rates would be about $15 million to $20 million. Now the only other thing I’d put an exclamation point on there is when we think about our interest rate, it's a long-term growth rate assumption. And I wouldn't think of that sensitivity as it relates to the short-term rates that we're hearing today, like be 0.4%, 0.5% range so relative to that, when I think about interest rate, the seven to 10 year kind of treasury rate is in the 3.5% range and even that is not necessarily a strong proxy for the sensitivity that we have as it relates to our VADBe reserve. So order of magnitude, if you had an interest rate worry would you think of it in the $10 million to $50 million range, potentially. But probably more than you asked for but I thought it would be a full sum disclosure to talk about those couple of sensitivities that we have out there.
Operator: We'll go next to Josh Raskin with Barclays Capital.
Joshua Raskin - Barclays Capital: First question, just on Medicare Advantage. I know Annemarie, you talk about the application of still seeing Private Fee for Service break even. So can be read into that suggestion that claims are coming in and I know sometimes the lag on those are a bit longer but claims are coming in sort of as expected and then maybe could help us in terms of an expectation for 2011 now that your bids are submitted. Would you expect that business to be profitable or smaller or both?
Annmarie Hagan: Sure, Josh, Annemarie here. Relative to the Private Fee for Service fees, so that what we've talked about is that during the year, we had more individual Private Fee for Service than we may have expected. So I assume that's the question you're really going at. Through six months, we would think our paid claim levels are about as we expected and as I noted in my prepared remarks, we are continuing to assume that was break even. To date, we've received no additional information that would make us change our expectations around the health of the population that we talked with you all about after the first quarter. So pretty good through six months, albeit as you know, as well as I do, that this type of individual claim reporting is a little bit longer. So we'll continue to update that as we go into the third and fourth quarter. Relative to your specific question around 2011, on the individual piece, we have indicated that we have not filed for individual Private Fee for Service whether it be on a network-based or a non-network-based and then I'm sure you're aware of our new Humana relationship on the group side, which I'd ask David to comment on for you.
David Cordani: Josh, on the group network-based program, we're delighted to have the relationship we secured with Humana as both the distribution and service alliance. So for our employer customers, we've been able to secure a best-in-class network service and clinical offering to be coordinated up against our commercial offering and we'll coordinate that service along with Humana as we go into 2011.
Joshua Raskin - Barclays Capital: And then just on the national account selling season, I know it’s a little bit early and it seems like there's a little sort of delay I guess in the market but I'm just curious what you guys are seeing and how we should think about expectations for some of the ASO business going into 2011?
David Cordani: I should say that just a few of the themes, and as you reference it's early, just by way of color context. I think over the past couple of years, we’ve referenced that the decision-making cycle has pushed off. And I think that's attributed to the size complexity and magnitude of these decisions as being more sea-sweep [ph] (1:09:42) decisions than ever. Having said that, I’m going to give you a few points. One, as we sit here today, our pipeline for national accounts, breadth and quality is about the same as it was last year and what I would’ve told you last year is that our 2010 pipeline, we feel good about and was contextually in line with our 2009 pipeline. So is it relates to looks at opportunities, volume, breadth and quality we feel pretty good about it in terms of what we're seeing in the marketplace. However, because of the decision-making cycle being longer, a high percentage of those programs are currently in RFP or finalist stage right now. So that's theme number one. Theme number two is, the preponderance of those RFPs or requests or finalist meetings are intensely focus on what we call engagement and incentive based programs. Could be CDHB [ph] (1:10:35), could be high, sophisticated coinsurance programs, could be using zero fund account balance programs to deposit incentives back in, but high use of incentives. And when we talk about engagement-based programs, we have a program called our integrated personal health team that looks at the whole person as supposed individual modules of service delivery. The demand for those types of services is rather high and we're pleased to see that. And finally, if we look at our book of business in terms of what out to bid inferred in your question, adjusting for one large piece of business that was on cycle that we knew about that's large and lower margin. That's also in pattern with what we've seen last year. So overall, early, our national account selling season's in line with our earlier expectations and our strategic forecasts.
Joshua Raskin - Barclays Capital: David, did you infer there that there's one large account? Is that one that's going to lapse or that’s just now currently out for bid?
David Cordani: It's a large account on cycle out for bid or kind of partial movement, is the way I would look at it and because of its size and breadth, tends to be lower margin, and we’ve known about it for quite some time, just part of managing a large broad portfolio. The important headline, Josh, is I'd ask you to think about the balance of opportunities, known sales, known finalist opportunities in case today, coupled up against business that’s out to bid. It's really in line with our expectations right now both in terms of quality and depth, which we feel good about.
Operator: We will go next to Christine Arnold with Cowen & Company.
Christine Arnold - Cowen and Company, LLC: Couple of questions, on Medicare Advantage, you said that you’re expecting break even. Does that mean it’s been breakeven thus far because I'm kind of sensing based on the loss ratios that we're on a 97% to 97.5% range in the quarter? Is my math off?
Annmarie Hagan: Christine, its Annemarie. No, your math is not off. Given the seasonality of this and as any new business or any loss reserves are put up we do put provisions for adverse deviation on. There's also some of the timing relative to the expense recognition on Private Fee for Service. So if you think about the pattern, it's almost like a Part D type pattern. So first quarter, you have losses. Second quarter, you have some profits coming, you know the six months number in the low single-digit loss category. And then through the balance of the year, you have a slight uptick so that the full year is breakeven but there is seasonality relative to the recognition of our provisions for adverse deviation, as well as our expense recognition.
Christine Arnold - Cowen and Company, LLC: So losses first half, profits second half?
Annmarie Hagan: That's correct.
Christine Arnold - Cowen and Company, LLC: And then on the prior pre-development, $11 million of the $14 million was related to guaranteed cost. Can I assume the vast majority of the $26 million related to first quarter was also guaranteed cost so I can adjust your seasonality?
Annmarie Hagan: Sure, Christine. Relative to the $26 million it was around $20 million in guaranteed costs with the balance of it primarily in our shared return stock.
Christine Arnold - Cowen and Company, LLC: And then can you tell us how much of your expat revenue is ensured U.S. domiciled, not short-term and might be subject to the floors?
Annmarie Hagan: Yes, Christine, at that point in time, we're not prepared to answer that actual split, as David mentioned in his earlier comments, as we get more clarity around things, we'll be as transparent with you all as possible.
Operator: [Operator Instructions] We'll go next to John Rex with JP Morgan.
John Rex - JP Morgan Chase & Co: Could you give us a little more color on some of the drivers of the utilization decline you're seeing for that? Maybe categorized for us the four major buckets where you're seeing the most weakness and what you attribute that to. And then how was this impacting your pricing decisions as you think about one renewals and how much of that you're going to bake into your expectations?
Annmarie Hagan: Thanks, John, Annmarie. Relative to the lower utilization, remember, overall, on at least the guaranteed cost book of business, you're talking about a small book of business and that utilization probably attributed about $10 million after-tax to the results through the first quarter. In addition, I'll remind you that from an overall book, we’ve really only changed our trend by about 50 basis points, so good news, lower utilization good news, I might not necessarily say weak but actually good news there and a lot of it is due to flu and therefore we’re seeing it come through in bits and pieces across inpatient, pharmacy and professional, but order of magnitude, we have not materially changed our trend number. I think the only thing that really changed in the trend number was the pharmacy we might have said was high single digits and now I might say mid to high. And as it relates to that, given that it’s not a material move, we don't expect material price change. As we go into 2011, we'll obviously be considering all the components of what's going on with health care reform, as well as kind of our trend perspective. And as typical, we would expect to price, I'm not trying to forecast 2011 at this point, but our typical process is to price at about trend.
John Rex - JP Morgan Chase & Co: Are you bed days running positive or running negative? Do you think about bed days per thousand members right now?
Annmarie Hagan: I say they’re about zero, kind of in a breakeven kind of perspective from a trend perspective. So typically it might be like plus a half a point minus a half a point. They're at about breakeven.
John Rex - JP Morgan Chase & Co: I just want to come back to VADBe quickly, to make sure I understood you commentary. If we assume that interest rates stay where they are right now for this balance of the second half and market volatility is consistent with what we saw in the first half, what would be the size of the reserve you would need to take in the second half of that book?
Annmarie Hagan: John, there are two parts of the many moving parts within the VADBe liability. So obviously, there are two important ones but I don't want to pretend that it’s as simple as saying, in answer to that question, we could project what will happen. So remind you again that at June, we feel good about our long-term reserve assumptions and feel good about the breakeven results. The flag that I had out there for you was, again if it continues to your point, and the bigger piece of the uncertainty right now is around the interest rate. So I think I said when I was talking earlier that relative to the interest rates, wouldn't look exactly at the low levels that’s there today, the short-term rate because that's not necessarily representative of what we expect to happen over the long term. I used something like the seven to 10 year treasury as a proxy but even that is not necessarily indicative of what we take as a long term rate. So if I had to be boxed into a number, I would say somewhere in the $10 million to $50 million range. But there are a lot of moving parts and really we need to stay tuned and watch that. And again, we have outlined our sensitivities. But again, they’re just two of the moving parts. Other things could move favorably to offset that as well.
John Rex - JP Morgan Chase & Co: But just to be clear, make sure I want to understand it. So if the 70 year ten year treasury stays where it is now, you think it could be a $10 million to $50 million reserve addition?
Annmarie Hagan: Order of magnitude. I guess my main message here John, is that I think at the end of the day, this is not catastrophic or huge. It's a manageable number that we might expect.
John Rex - JP Morgan Chase & Co: And can you size, if market volatility is like it was in the first half, what’s again, broadsided of the barn, is that $10 million to $50 million also? Is that the right...
Annmarie Hagan: No, I wouldn't add those together, John. I would actually look at all the moving parts that’s potentially in that range.
Operator: We will go next to Ana Gupte with Sanford Bernstein.
Ana Gupte - Bernstein Research: I had a question firstly on your cap’s of PBM. Can you make, give us any color on your views on the recent announce sourcing arrangement and how you think about that with regards to getting better discounts but then it's probably offset to some degree around your vertically integrated value proposition to middle market customers?
David Cordani: It's David. Relative to the PBM, first micro, we actually expect the PBM space, both kind of narrow and broad, we continue to be pretty dynamic. A lot of growth, a lot of changes both in classic pharmaceutical deliveries, as well as specialty pharmaceutical deliveries. So we expect to see lot of movement and change in the marketplace. In the context of our PBM, as you referenced, we continue to believe our PBM is currently delivering a significant amount of integrated value for the benefit of our customers and as you go back to our growth strategy, our growth strategy focuses on Middle Market employers select segment employers and those National account employers who value engagement and incentive, which tend to be highly integrated. So there's a strong proposition there. The second piece I would add to it though is a PBM is not one unit. There's a variety of components that exist in the PBM from [ph] (1:20:10) management to clinical program management through mail order. And as we’ve said in the past, we concluded that it was most prudent to retain the asset on an integrated basis but like all the assets we have in our portfolio, we’ll continue to consider whether or there are alternatives to looking parts of the assets or the whole of the asset to create more value. So as it stands today, very important part, delivering good integrated clinical quality until the cost quality for our customers, especially because of the target segments we're going after, but we’ll continue to be open to strategic considerations for portions of it as we look forward.
Ana Gupte - Bernstein Research: Follow up, just a strapping on the PBM, did you have some turnover leadership there? And then just different question on M&A, you said that's one of your top priorities over share repurchase. Would you look at strengthening your health benefits portfolio and possibly get more local and national scale or you looking more at adjacencies like international or some of your competitors and moving into health services to a large degree?
David Cordani: Ana, two comments. [ph] (1:21:16) to leadership you might be referencing, the former President of our PBM actually went to be CEO of a captive PBM, which is actually quite a good outcome, is an individual that CIGNA has known for a long period of time. And that’s rather nicely to his career plans and career objectives. We have built succession in the organization so there was a seamless transition of responsibilities. And the prior President of our PBM had that as a responsibility, built a strong team that's currently running the business. So it's both a blessing and a curse of having a strong leadership team of potential turnover of leadership. But the important message is a seamless leadership transition within the company and the strategy is continuing to be executed. Specific to your M&A question, yes, M&A's an important part of our strategy but by no means the sole part. We need to demonstrate that we can grow organically as we are in our targeted businesses. Specific to your question, we see opportunities, broadly speaking from an M&A space as long as it's strategically aligned and financially prudent. So we wouldn't limit to one or the other. We would look and use our strategy as our guidepost. And our strategy speaks to go deep, go global, go individual. So my broad answer to your question is you put categories around that is, yes. But we use that strategy as our specific guidepost to identify either go deep opportunities or their broadening opportunities to present themselves.
Operator: We'll go next to Doug Simpson with Morgan Stanley.
Doug Simpson - Morgan Stanley: Certainly appreciate the color on the VADBe book and the discussion around the $10 million to $50 million number for the second half of the year. If we just connect the dots back to sort of '08 and prior, there’ve been a number of true ups generally to the downside on the reserve for that book. I mean how do we think about -- what type of the number would you have to take to really give a very high level of confidence that we wouldn't have to take any future reserve hits on that line of business?
Annmarie Hagan: Doug, it's Annmarie. Just to make sure and clarify what you said there, prior to the, what I’ll frame as a debacle of market environment in 2008, we have been pretty much breakeven for VADBe for quite some time. So I just want to be clear that there weren’t a lot charges that where happening before that, we had been break even for some period of time. Relative to your specific question as it relates to what charge we would have to take to be done with it, I don't want to comment on that specifically because that's a hard question to answer. Having said that, we as a management team are very focused on continuing to identify solutions to either mitigate further or ultimately eliminate the VADBe exposure as we’ve talked about. And we specifically cover in our capital deployment conversation as well. But relative to a specific number, I'm not in a position to give you that at this point in time.
Doug Simpson - Morgan Stanley: And then maybe just, you touched on the potential impact of rates on that piece. How should we be thinking about the pension discount and return rate assumptions just given where the markets are now? I know midyear and that will be done at year-end but just directionally.
Annmarie Hagan: Sure. You're right that we do a review of that at year end, relative to the return, we feel good about the overall return on our portfolio through six months. They're generally in line with our long-term assumption of around 8%. And as you might recall, we did adjust discount rate at the end of last year. So your guess is as good as mine as to what's going to specifically happen relative to interest rate as we move into the latter part of the year and select our discount rate. But we did go to a lower number as we close 2009.
Operator: We'll go next to Carl McDonald with Citi.
Carl McDonald - Citigroup Inc: You’d pointed out that the guidance for the other segments so x Health care, Life International for a loss of $145 million. Looks like the first half loss was closer to $45 million so is that incremental loss in the second half, is that all the investments and additional spending you talked about or is there anything else to call out there?
Annmarie Hagan: Carl, it's Annmarie. Thank you for pointing that out. Yes, as we move ahead through the balance of the year, the other segments do have some number contemplated in there for health care reform, the interest rate on the debt, et cetera. So I would not necessarily run rate the $45 million that I have through the first half. And that's really the $145 million’s our best estimate at this point in time as to what we think the second half would run at.
Carl McDonald - Citigroup Inc: And on the Private Fee for Service, now that you’ve made the decision to exit that, how quickly do you think you can eliminate the associated SG&A there and what's a reasonable SG&A ratio to think about on that product?
David Cordani: Carl, good morning, it's David. You should expect a pretty orderly wind down period with that so you'll think about a run-out curve that would transpire over the first couple of quarters of the year with a pretty expeditious wind down too. That model has served with the service model for that is some variable labor. And some outsourced relationships and partners. So we have a good opportunity to match the wind down of administrative cost in the first half of the year and we don't think we can have any stranded overhead or issues that go along with that, if that's what you're looking for.
Carl McDonald - Citigroup Inc: And the reasonable SG&A ratio on that product?
David Cordani: Point being, I think it's somewhat irrelevant because if your asking for the individual Private Fee for Service, as Annmarie referenced previously, I’m assuming that of book of business. But you think about it as eight.
Operator: We'll go next to Scott Fidel with Deutsche Bank.
Scott Fidel - Deutsche Bank AG: First question is if you have an updated estimate of you think your all in health reform related costs will be this year? I know in the first quarter, you had cited a number around $10 million but at that point it was primarily just related to the change in the deductibility of taxes on Part D. So now that we know about a few other elements, if you have an updated figure for that.
Annmarie Hagan: Sure, Scott. It's Annmarie. You're correct, we did talk in the first quarter of about $10 million after-tax and it was related primarily to the retiree medical and the other compensation. Order of magnitude, as I mentioned in my prepared remarks, we do expect to spend a little bit more in the second half relative to health care reform and I would say that the number for the full year across the entire enterprise is approximately $20 million.
Scott Fidel - Deutsche Bank AG: And then I just had a follow-up for David. And David, any thoughts around whether your views on Medicaid are evolving at this point just given the coverage expansion and just how much Medicaid is expected to grow over the next few years? Obviously CIGNA has historically kept that market at arms length, but any thoughts on changing that approach?
David Cordani: Scott, as you referenced, contextually CIGNA has not focused on Medicaid in the past. It's not necessarily because we view it as a bad or unattractive business. We view it as less leverageable against what we have as capabilities domestically. So as we sit here today and look to future market opportunities, consistent with what we went through with you all with our Strategy and I day, [ph] (1:28:48) we would look to the individual market broadly defined as being very attractive, and we would look at some components of the governmental marketplace as being attractive. And I think what you're referencing is that there's going to be a blurring of the line between maybe what the individual and the classic Medicaid market looks like. We're spending a lot of time looking at that. But the traditional Medicaid marketplace, still we have a similar view, the emerging Medicaid marketplace as it blurs with the individual market, we view as attractive over the long term.
Scott Fidel - Deutsche Bank AG: So more around sort of the hybrid market with the subsidized products and sort of that balance into the exchanges?
David Cordani: That's a great example to bridge my comments.
Operator: We'll go next to Peter Costa with Fells (sic) [Wells] Fargo.
Peter Costa - Wells Fargo Securities, LLC: Can you talk a little about your conversations, how they’ve been going with the company's or customers regarding the experience-rated product that you have? Given that we go to 2011 and there’s going to be rebates in all health insurance business, how are customers reacting to that when you're talking about your experience-rated product versus traditional products?
David Cordani: Peter, it's David. Relative to the experience rate, we call it shared returns because of more references in the marketplace, how the product functions, if you step back and think about it, it's kind of interesting because the whole notion of rebating blurs based upon their experience or book-to-business is a fundamental component of what underlies a share return experience with a product. So if anything, there's a heightened degree of interest in fee markets where we're educating and investing in energy with brokers in the new marketplace. So we view more opportunity versus less overtime, but we've continued to view that, that product is a bit more of a niche product, not a product that’s a solution for everybody. But the important part, again, to underscore, it's transparent; the employer sees their medical costs and we share in -- if you [indiscernible] (1:30:46) the benefits of effective clinical quality medical cost delivery or deficits that are created. And in an environment of increased transparency, be they rebates or otherwise, we would see more demand versus less.
Annmarie Hagan: The only thing I’d add onto that, Peter, is as I noted in my prepared remarks, we are seeing good growth in 2010 as it relates to the experience-rated product and as David said, further opportunity as we move ahead.
Peter Costa - Wells Fargo Securities, LLC: So you're guaranteeing higher at MLR rebates, or is there something else that separates that product from sort of what would be traditional products going forward?
David Cordani: Peter, I would not think about guaranteeing higher rebates. Think about employer by employer by employer. An estimate is done of their underlying medical cost. A lot of transparency around that estimate takes place, so it's not availed [ph] (1:31:34) and there's an understanding of the product design, the clinical programs, the incentives that are put in place. And then at a minimum, on a quarterly basis, there's good transparency on how they're running and surpluses get credited into their premium stabilization account. Deficits get aggregated and earned back going forward. So I would not think about it as guarantees attaching to it. I would think about transparency, high visibility and kind of more of a shared responsibility of the employer working in conjunction with us to optimize the outcome for their employees.
Peter Costa - Wells Fargo Securities, LLC: Okay. And going forward, will you be combining those two businesses in reporting your MLR instead of just giving an MLR for the guaranteed cost business?
David Cordani: Could you repeat the questions in terms of our intent going forward?
Peter Costa - Wells Fargo Securities, LLC: Your MLR right now, you just provided out for the guaranteed cost business. Will you eventually be providing that for the experience-rated and the guaranteed cost business combined considering the two businesses are getting more some more?
Annmarie Hagan: Peter, it's Annmarie. We talk about the guaranteed cost MLR, quite honestly given that, that’s a fully risk business. However, when you go to our statistical supplement you, we do have the total MLR in there as well, and the only thing I’d -- so I don't think that there's any necessity to break out anything different as we move forward. The only thing I'd add to David's comments is relative to the shared returns product, I would think of it along a continuum just to clarify what you were saying about guarantees. So you have your guaranteed cost, which is your traditional full risk business, and then you have your ASL where the large employers want their own – want to see their own experience and sometimes cover that with some catastrophic cover-up up at the top. The experience rate of business is kind of that, which kind of falls in between, so it’s that mid-sized employer that wants to be rated in price based on their own experience, but it isn’t exactly ready yet to make that transition up to the full ASO product. So that's the way I would look at it, a longer continuum. So to David's point, transparent on their own experience, and that's how the rating goes.
Operator: Our last question will come from Justin Lake with UBS.
Justin Lake - UBS Investment Bank: First question on the SG&A, can you kind of just try to quantify for us the higher spend in the second half as far as what we should think about versus the current run rate? And also, can you give us an update on your target of $150 million to $200 million for 2011 and ’12 on SG&A reductions? And any color on timing there, identified cuts?
Annmarie Hagan: Sure, Justin. It's Annmarie. Relative to kind of quantifying what we see as additional spending in the second half as it relates to health care, now remember, I'm talking about that core medical, the medical operating expense line that you'll see in the quarterly statistical supplement. As I noted in my prepared remarks, that is smart strategic investment that we think is prudent given what's going on relative to our growth strategy and also some acceleration because we think it's prudent to advance the compliance expense. Order of magnitude, I think for that is about $10 million to $15 million after tax. As relative to your $150 million the $250 million, I’d just remind you again that we are committed to continuing to identify opportunities to improve our operating efficiencies. As we talked before, we didn't give any specific timing or quantification of how that would fall into '11 and '12, but we are still committed to making the right balances and trade-offs, identifying operating efficiencies and ensuring that we are continuing to invest smartly to ensure that we're well-positioned for the opportunities around health care reform, to ensure that we're well positioned relative to compliance. The final thing I'll say there is we are going through our process as we speak. And we're not in a position yet to give out 2011 guidance, obviously, but as we get closer to that, we'll give you more visibility into those numbers for 2011 and beyond.
Justin Lake - UBS Investment Bank: And just quickly a follow-up on 2011, given the company's business momentum and your relative lack of exposure to health care reform, can you go through -- is there any reason we should think you wouldn't be targeting positive operating earnings growth next year? And without getting specific on numbers, just thinking about up or down.
David Cordani: Justin, as Annmarie said, it's early to think about and talk about 2011, especially given the unique market place. Having said that, when we think about the diversity of our portfolio, our nine U.S. business, our Disability Life and Accident business, our service related business and our specialty portfolio and our momentum, as we said in our prepared remarks, we feel good about 2010, and we feel good about the opportunity from an outlook standpoint. So we're not going to guide you to a number but rather think back to the core of our business and what we're focused right now. We would speak to the diversification of the business both domestically and abroad, as well as the target of our strategy and both Annmarie and I say we feel good about opportunities as we look to the future.
Justin Lake - UBS Investment Bank: Great. Can I ask a quick follow-up on VADBe? Just to be clear, in '08, the market volatility drove reserve increases and actual dollars having to be inserted there from a capital perspective. If I remember correctly, in '09 you actually had some gains there that you didn't take out capital. You didn’t actually have positive capital from that business. So as you take losses here, are you talking about book losses or were you talking about capital losses in dollars?
Annmarie Hagan: So Justin, just to put in perspective, 2008, I don't need to remind you that those type of capital markets, knock on wood, are not what we’re thinking about as we move through the balance of the year. And if you’ll recall, the S&P has to go down pretty far for it to impact our dividend-paying capability. So I would think that in the near term, if we had any charge in the second half, it would be manageable from both a dividend-paying capability from the sub, as well as potential earnings impact.
Justin Lake - UBS Investment Bank: Okay. So you wouldn't see any change to the dividend regardless if you took a $50 million or $100 million loss?
Annmarie Hagan: Not at this point in time but I still want to emphasize I don’t want people walking around thinking that we have a known $50 million to $100 million exposure in VADBe. We're just flagging that there could be some charged in the second half, and I’ve given an order of magnitude and the $10 million to $50 million really to be representative that we don't think it's catastrophic here.
Operator: And that being our last question, I'd like to turn the call back to David Cordani for any additional or closing comments.
David Cordani: Thank you. In closing, we hope you take way a few conclusions about our business as we navigate and help shape this financial market. First, our second quarter 2010 results are strong, and they reflect the value we’re delivering to our customers, the strength of our diversified portfolio business and the effective execution of our global growth strategy. We're also making significant progress towards the creation of strategic and financial flexibility through our continued strengthening of our capital position and our effective management of operating and medical costs for the benefit our clients. We're actively involved with the implementation of a sustainable health care program to focus on health and prevention while effectively addressing access, cost and quality. We see this as a natural for us given our long-standing mission predicated on helping individuals improve their health, well-being and sense of security. And we see this approach as more important than ever. Specifically, our focus on making sure our company is aligned with and compliant with the new law, we’ll continue to work with regulators to create a sustainable health care system, and we're also identifying additional growth opportunities for CIGNA to pursue in this rapidly changing market. Finally, CIGNA's well positioned as a global health service company with diversified global portfolio businesses. And I'm confident that our global footprint will enable us to achieve our 2010 strategic and financial objectives and deliver meaningful value for the benefit of our customers and shareholders as we look to the future. Thanks again for joining us for today's call.